Operator: Good day, ladies and gentlemen and welcome to the Q4 2015 Stratasys Earnings Conference Call. My name is Gemma and I will be your operator for today. At this time, all participants are on listen-only mode. We will conduct a question-and-answer session towards the end of this conference. As a reminder, this call is being recorded for replay purposes. I would like to turn the call over to Mr. Shane Glenn, Vice President of Investor Relations. Please proceed, sir.
Shane Glenn - Vice President-Investor Relations: Thanks, Gemma. Good morning, everyone and thank you for joining us to discuss our fourth quarter and full year 2015 financial results. On the call with us today are David Reis, CEO, and Erez Simha, CFO and COO of Stratasys. I'll remind you that access to today's call, including the prepared slide presentation, is available online at the web address provided in our press release. In addition, a replay of today's call including access to the slide presentation will also be available and can be accessed through the investor section of our website. We will begin by reminding everyone that certain statements in this presentation regarding Stratasys' beliefs and its comprehensive new strategy will help grow its markets and the statements regarding its projected future financial performance including under the heading Financial Guidance are forward-looking statements reflecting management's current expectations and beliefs. These forward-looking statements are based on current information that is by its nature subject to rapid and even abrupt change. Due to risks and uncertainties associated with Stratasys business, actual results could differ materially from those projected or implied by these forward-looking statements. These risks and uncertainties include but are not limited to the overall global economic environment, the impact of competition and new technologies, general market, political and economic conditions in the countries in which Stratasys operates, changes in projected capital expenditures and liquidity, changes in Stratasys' strategy, changes in government regulations and approvals, changes in customers' budgeting priorities and other factors referred to under risk factors, information on the company, operating and financial review and prospects, and generally in Stratasys annual report on Form 20-F for the year ended December 31, 2014, filed with the U.S. Securities and Exchange Commission and in other reports that Stratasys has filed with or furnished to the SEC from time to time. Readers are urged to carefully review and consider the various disclosures made in Stratasys' SEC reports, which are designed to advise Investors as to the risks and other factors that may affect Stratasys business, financial condition, results of operation and prospects. Any guidance and other forward-looking statements in this press release, in conference call are made as of the date hereof, and Stratasys undertakes no obligation to publicly update or revise any forward-looking statements, which is, as a result of new information, further events, or otherwise, except as required by law. As in previous quarters, today's call will include non-GAAP financial measures. These non-GAAP financial measures should be read in combination with our GAAP metrics to evaluate our performance. We also note that we are not providing any pro forma financial results for acquisitions. Certain non-GAAP to GAAP reconciliations are provided in the table contained in our slide presentation and today's press release. Now, I'd like to turn the call over to our CEO, David Reis. David?
David Reis - Chief Executive Officer & Director: Thank you, Shane. Good morning, everyone, and thank you for joining today's call. The operating environment during the fourth quarter was characteristics of the difficult market condition that impact our performance throughout 2016. This includes weaker macroeconomic environment compared to prior years, and a shift in the customer buying pattern, following two years of extraordinary strong demand. Despite these near term challenges, we are pleased to recognize a favorable trend in operating expense as well as improvement in cash generating during the quarter, both driven by the initial success of our ongoing restructuring and efficiency initiatives. As we enter 2016, we have entered a new phase in our company development. We're looking to maintain our leadership position in prototyping, while developing a solutions-based business model which target key vertical market and emerging application for tools and end use parts. At the same time, we are committed to further improve our financial performance by aggressively managing our expenses and driving additional operational efficiencies. I will return later in the call to provide you more detail on these improvements and initiatives and other key developments. But first, I would like to turn our call to our CFO and COO, Erez Simha, who will review in detail our financial results. Erez?
Erez Simha - Chief Operating & Financial Officer: Thank you, David, and good morning, everyone. As David mentioned, we continued to observe challenging business environment during the fourth quarter driven by macroeconomic considerations, and lengthening of product sales cycle in our core markets. Total revenue in the fourth quarter decreased by 20% to $173.4 million when compared to $217.1 million for the same period last year. Our core business revenue, which excluded MakerBot and Stratasys Direct Manufacturing, declined by 14% in the fourth quarter over last year. MakerBot product and service revenue declined by 62% in the fourth quarter over last year driven by the overall market weakness, as well as by the impact of ongoing restructuring of that business. Non-GAAP net loss for the fourth quarter was $0.7 million, or a loss of $0.01 per diluted share, compared to non-GAAP net income of $24.9 million, or $0.48 per diluted share reported for the same period last year. The company completed the goodwill impairment analysis of all of its reporting units that began in the third quarter, and recognized an additional non-cash goodwill and other intangible asset impairment charges of $104 million, net of tax, in the fourth quarter. In addition, the company determined that non-cash valuation allowance against its deferred tax assets was required, as near term realization of these assets is unlikely. This allowance amounted to $95 million in the fourth quarter. It should be noted that these deferred tax assets have expiry date many years into the future, and we do anticipate being able to recognize the value to offset perspective tax liabilities. We are pleased to end the year with a healthy backlog of $27.3 million versus $14.3 million at the end of 2014. Given current market conditions and the uncertain timing of recovery, we continue to make operational adjustments that better align our cost structure with the lower growth environment. Our ongoing restructuring initiatives include the following: plans to improve working capital management, reduction in global workforce by 10% during the fourth quarter of 2015, and programs to reduce operating expenses and optimize manufacturing. The impact of these restructuring activities will be realized throughout 2016. We were pleased to see some positive trends in our expenses during the fourth quarter that resulted from these initiatives. Product revenue in the fourth quarter decreased by 26% to $124.3 million as compared to the same period last year. Within product revenue, system revenue for the fourth quarter declined by 37% over the same period last year, driven primarily by the overall market weakness as discussed previously. Consumables revenue for the quarter was relatively flat when compared to the same period last year. While also impacted by the overall market slowdown, consumable revenue growth is more a function of our installed base and less affected by a decline in system sales within any given quarter. Services revenue in the fourth quarter increased slightly to $49 million as compared to the same period last year. Within service revenue, customer support revenue during the quarter which includes the revenue generated mainly by maintenance contract on our systems increased by 11% compared to the same period last year, driven primarily by growth in our installed base of systems and the success of our programs to extend service contracts. The company sold 4,629 3D printing and additive manufacturing systems during the fourth quarter, and has sold a total of 146,024 systems worldwide as of December 31, 2015 on a pro forma combined basis. Unit sales in the fourth quarter relative to prior periods were impacted by lower MakerBot unit sales as well as the overall impact of the market factors we have outlined previously. For our core products, system ASP in the fourth quarter improved sequentially and year-over-year driven by the product mix and favored higher value systems compared to prior periods including strong sales of our Connex line. Gross margin declined to 48% for the fourth quarter compared to 56% for the same period last year. The decrease in gross margin over last year was driven primarily by one-time items, which are included in our non-GAAP presentations as well as the inefficiency related to lower production volumes. The one-time item includes a negative impact of approximately $7.7 million, related primarily to inventory adjustments. Product gross margin decreased to 53% in the quarter compared to 59% for the same period last year, reflecting the impact of the one-time items as well as the inefficiency related to lower production volumes. Service gross margin decreased to 36% in the quarter as compared to 44% in the same period last year, driven primarily by one-time inventory adjustment, and build-up of capacity at Stratasys Direct Manufacturing. However, service gross margins improved sequentially from the 32% recognized in the third quarter. Operating expenses decreased by 5% to $92.3 million for the fourth quarter as compared to the same period last year. In addition, operating expenses in the quarter declined by 3% when compared to the first quarter of 2015. These favorable trends reflects the positive impact of our efficiency and cost saving initiative, including reduction in head count, subcontractors, facility consolidation, and an overall focus on reducing our direct and indirect spend. Net R&D expenses decreased by 4% in the quarter to $22.2 million over the same period last year, driven by our overall cost reduction efforts. SG&A expenses decreased by 7% in the quarter to $70.1 million over the same period last year, reflecting the impact of lower reseller commissions and planned cost reductions. We should note that this planned cost reduction should not impact long-term strategic initiative. In some cases, we have actually increased investment in area we view as important for long-term growth. Net income included a tax benefit of $8.9 million, which resulted mainly from the impact of losses incurred in high tax jurisdictions. The following slide provide you a breakdown of our geographic sales for the quarter, which reflects the broad-based weakness we have outlined previously. Our regional results were consistent with trend we have observed throughout the year. Non-GAAP EBITDA for the fourth quarter amounted to a loss of $1.4 million. The company generated $7.7 million in cash from operations during the fourth quarter, and currently hold approximately $258.2 million in cash, cash equivalents and short-term bank deposits. Our cash from operations improved in the fourth quarter driven by improvement in working capital management. Inventory at the end of the fourth quarter declined to $123.7 million as compared to $140.8 million, at the end of the third quarter, driven primarily by a planned reduction in production levels and heightened focus on inventory management. Accounts receivable decreased by 6% to $123.2 million compared to $140.7 million (sic) [$130.7 million] at the end of the third quarter, with DSO on 12 months trailing revenue remaining relatively flat at 65 compared to 64 in previous quarter. In summary, the challenging market environment persists into the fourth quarter, which is reflected in our results. We are making adjustment to our cost structure accordingly, and are encouraged by the positive trend in operating expenses and working capital management. Giving the uncertain timing of return to a stronger growth rate, we have planned for a continuation of current market condition throughout 2016. Regardless, we remain focused on improving operational efficiencies and we'll stand prepared to make additional adjustment to better align with changes in the business environment. And finally, we believe we maintain a strong balance sheet with sufficient capital to invest for the future, and capitalize on emerging opportunities. I would like now to turn the call over to our VP of Investor Relations, Shane Glenn who will provide you greater details on our 2016 financial guidance. Shane?
Shane Glenn - Vice President-Investor Relations: Thank you, Erez. As Erez mentioned, our visibility into the timing and magnitude of a market recovery remains limited. This uncertainty is reflected in our revenue projections and operating budget, which assume no significant market improvement throughout 2016. Our guidance for 2016 is as follows. Total revenue in the range of $700 million to $730 million, with non-GAAP net income in the range of $9 million to $23 million, or $0.17 to $0.43 per diluted share; GAAP net loss of $84 million to $67 million, or a loss of $1.60 to $1.28 per basic share; non-GAAP earnings guidance excludes $59 million of projected amortization of intangible assets; $25 million to $27 million of share based compensation expense; $7 million in merger and acquisition-related expenses; $4 million to $5 million in reorganization and other related costs, and includes $5 million tax expenses related to non-GAAP adjustments. Additionally, we are providing the following information regarding our company's potential performance and strategic plans for 2016. Gross margins to improve modestly to a range of 54% to 55%; operating margins of 3% to 5%; tax expense of $10 million to $11 million which includes the negative impact of the planned accounting treatment for deferred tax asset valuation allowance. Capital expenditures are projected at $60 million to $70 million, with approximately $45 million designated for completing the company's new facility in Israel. Our tax expense guidance and relatively high estimated non-GAAP tax rate for 2016 is a function of the ongoing non-cash valuation allowance against deferred tax assets, we expect to record throughout the year. As Erez mentioned, these deferred tax assets have expiration date many years into the future, and we do anticipate being able to recognize our value to offset prospective tax liabilities in the future. The company believes that it can achieve a significant improvement in its operating structure in 2016, which can translate into improved operating profit compared to prior year. Given the expected impact, our net income of the planned accounting treatment for tax valuation, the company believes operating profit growth to be the best measure of performance in 2016. Finally, this time we're reviewing our long-term operating model and plan to provide an update when we observe improved visibility within the market. Appropriate reconciliations between GAAP and non-GAAP financial measures are provided in the table at the end of our press release and slide presentation with itemized detail of the non-GAAP financial measures. Now, I'd like to turn the call back over to David Reis. David?
David Reis - Chief Executive Officer & Director: Thank you, Shane. Following a period of extraordinary growth that ended at the close of 2014, we continued to feel the impact of the industry-wide slowdown. This has required us to re-evaluate our cost structure in order to improve financial performance. We continue to position our business for future success and are in the midst of a new phase of our company development. We're optimistic about the potential impact of this transformation and believe we have the necessary components and strategy that will help us achieve our goals. In 2012, we completed the merger of two industry leaders, Stratasys and Objet. The merger and its successful integration was followed by series of acquisition and investments that have further strengthened our core capabilities and expanded our business offering. We have now initiated the third phase of our company development. The goal is to maintain our leadership position in prototyping while developing a solution-based business model that target key vertical markets and emerging applications for tool and end-use parts. This includes heavy investment in R&D and go-to market initiatives to support the many growth opportunities we have already identified as well as incremental investment in our strategic accounts management, vertical business unit, MakerBot, GrabCAD software and IT infrastructure that will position us for long-term growth. Our vision and purpose behind these investments remain the same. We shape lives by revolutionizing the ways things are made. We believe software will be crucial for future success within our industry. And through GrabCAD, we are developing new capabilities that are vital to our overall strategy. In addition, our go-to market development includes engaging our customers more directly through our Strategic Account Management, the SAM, and the Vertical Business Unit, the BVU initiatives. Our SAM initiative looks to package and sell existing use cases across large organization while the BVU looks to collaborate with our customers and incubate new capabilities. The key verticals we have identified, including aerospace, automotive, dental, medical and jewelry as well as education, which ultimately support all of those verticals for the long term by training the next generation of designers, engineers and technicians. We believe these new initiatives will augment our current business and address a wide range of needs within key vertical market, especially for manufacturing applications. Beyond prototyping, we see significant opportunity in the tooling market over the near term, which serve as a gateway for penetrating more advanced manufacturing applications in the future. Tools and injection molds are projected by McKinsey to be a strong growth area for additive manufacturing, with 30% to 50% of tools being replaced with 3D printed parts by 2025. Longer-term, we believe our technology can bring many benefits to manufacturers and manufacturing and disrupt traditional processes, especially within the supply chain and for low volume production. We recently announced the enhanced Objet Connex3, which provides a greater functionality and a vastly simplified user experience. The new system is significant in three ways. We replaced several single standalone machines with the streamlined Connex product line. The new system feature the Creative Colors Software powered by Adobe 3D Color Print Engine that enable new color spectrum capabilities, expanding available colors from 46 per palette to more than 1,000 gradient color options. In addition, the Connex3 now includes new software enhancement that simplifies the design-to-part workflow. The new workflow will enable customers to upload parts file directly from Adobe Photoshop to locally reside Connex3 systems, or to Stratasys Direct Manufacturing for quoting, validation and previewing. We believe this part of (21:17) demand functionality will be unlike anything in the industry. I would like to provide you a brief update on MakerBot. Although we have addressed the product reliability issues that impacted MakerBot performance, the desktop space has been affected by the broader market challenges. We have taken several steps over the last year to improve the performance of MakerBot including enhancement of management, improved collaboration between our collective engineering teams, and the development of synergistic sales partnerships. Additionally, we recognized the business to reduce expenses – sorry, we reorganized the business to reduce expenses, refocused the sales and marketing efforts on the core education and entry-level professional markets. We expect productivity improvements at MakerBot throughout 2016. While MakerBot remains a relatively small part of our overall business today, the desktop category is strategically important for the company. We believe that exposure to entry-level 3D printing capabilities will lead to increased demand for more advanced 3D printing solutions, and that significant potential cross-selling synergies exist between MakerBot, our core customer base, and Stratasys' direct manufacturing. We also believe that MakerBot remains the strongest brand in the desktop market, with an industry-leading ecosystem and product portfolio. We remain committed to this space. We dedicated balance of the maintaining between growth and profitability. We must maintain our leadership position while developing new markets, application and vertical focus solutions. At the same time, we must manage our expenses, drive operational efficiencies and improve profitability and cash generation. We believe that Stratasys will be a stronger, leaner and more competitive company as a result of these initiatives. As we highlighted earlier, these initiatives have already contributed to significant operational improvement, and we are committed to farther progress as we move through 2016. In summary, we will remain focused on maintaining our leadership position in prototyping, while targeting key vertical markets and emerging applications for tools and end-use parts. We are enhancing our go-to-market infrastructure to provide a higher-touch interaction with customers by moving to solution-based selling model that unified our offering. In addition to investing in growth opportunities that we've already identified, we're investing aggressively in initiatives to support long-term growth. We will continue to focus on operational efficiencies to help drive improvement in profitability, and cash generation through 2016. And finally, although we expect market condition will remain challenging in 2016, we remain excited about our company's future. Operator, please open the call for questions.
Operator: Thank you. Please stand by for your first question. The first question comes from the line of Troy Jensen from Piper. Please proceed.
Troy D. Jensen - Piper Jaffray & Co (Broker): Hey, gentlemen. Thanks for taking my question. Hey, a couple of quick for Erez. First of all, can you talk at all about the cadence of revenues and operating expenses between the quarters here? I know you gave us full-year guidance here but should we assume – Q1's down low-teens, and Q3 is flat, and that's on the top line. And then how is the expense projection, is it going to see sequential decline for several quarters or is there one big step function has been growing throughout the year?
Shane Glenn - Vice President-Investor Relations: Hi, Troy. This is Shane. Let me see if I can address that. When we look at 2016, we expect to grow relatively consistent quarterly operating expenses in absolute dollars when you look at how we progress through 2016. So we obviously gave you guidance around gross margins, we gave you the operating margin guidance, and I think you should be modeling relatively consistent numbers on absolute dollars as we move through the year. On the revenue, I think you can expect revenue to exhibit a little bit more typical patterns you see historically for Stratasys, and without getting into specific numbers, that obviously includes a relatively strong Q4 and relatively weaker Q1 and relatively weaker Q3.
Troy D. Jensen - Piper Jaffray & Co (Broker): Okay. That's very helpful. But also on the tax assets, the deferred tax assets, reversal or whatever it was, if I run the numbers here, is it safe to assume that this lowered your 2016 EPS by about $0.15 if we were to assume similar tax rates historically?
Erez Simha - Chief Operating & Financial Officer: Good morning, Troy. It's Erez. We didn't provide any number and it's practically difficult to pinpoint for a specific number. Just maybe a broader explanation of what we are talking about, the deferred tax asset on the balance sheet represent the value of tax deductions and credit to offset future liabilities. The asset include, among other things, net operating loss carried forward. U.S. GAAP requires company to regularly assess the probability of realizing the value of deferred tax asset by evaluating certain criteria. These criteria include, among other things, the timing and likelihood of near-term GAAP probability. After performing this analysis, we have determined that the valuation allowance was required as the near-term realization of this asset is unlikely. This does not have any impact on company cash position and it should be noted that these assets have expiry dates many years into the future, and we do anticipate being able to recognize the value at some point to offset prospective tax liability. I would say for your calculation, I would assume a normal tax rate of 10% for the company, to answer your first question about the numbers (28:15).
Troy D. Jensen - Piper Jaffray & Co (Broker): But the 10% is not this year though, right? I'm assuming we've got to plug in more, $2.5 million in the quarter, on the taxes.
Erez Simha - Chief Operating & Financial Officer: No.
Troy D. Jensen - Piper Jaffray & Co (Broker): (28:24).
Erez Simha - Chief Operating & Financial Officer: No. The 10% is actually looking at the overall business tax performance of the company without the tax valuation allowance, so in a language that we used to speak until now. However, 2016, it will not be 10%. We provided the numbers, they are much higher in 2016 compared to previous years.
Troy D. Jensen - Piper Jaffray & Co (Broker): All right. I think I understand. Good luck in 2016, gentlemen.
Shane Glenn - Vice President-Investor Relations: Thanks, Troy.
Operator: Thank you. And the next question comes from the line of Steve Milunovich from UBS. Please proceed.
Steven M. Milunovich - UBS Securities LLC: Great. Thank you. Kind of a very basic question. Demand really fell off about a year ago and it seems like it's now at least stabilizing but obviously you don't have a lot of visibility. As you look back, what happened? Was it saturation of the kind of low-hanging fruit in prototyping? And then the tooling and other businesses you're going toward not being mature enough or how do you kind of assess that?
David Reis - Chief Executive Officer & Director: Hi. Good morning. It's David. I think it's a combination of the three or four elements that came through to play at the same time. There is no doubt that in some parts of the world in some industries, highly capital-invested industries, we saw a slowdown in capital purchasing in 2015. There was a lot of excitement and a lot of aggressive buying of 3D printing equipment in 2014 and 2013 which I think brought (30:08) in some areas the capacity to a relatively higher level and people had to digest what they bought in previous year. I think we saw a shift, which is being reflected a little bit in the gross margin, to smaller machines during this period because some companies kind of contracted their capital spending. And I think those are the main maybe two elements that we saw in the market. Nevertheless, in some areas, the main contraction came in the rapid prototyping business which is the biggest chunk of our business today. There are some areas in manufacturing and in tooling that we did see some growth even through 2015.
Steven M. Milunovich - UBS Securities LLC: Okay. Thank you. And you talked a bit about solution-based selling. Could you explain exactly what you mean by that? How is that different from how you've sold in the past? And does that result in longer sell cycles?
David Reis - Chief Executive Officer & Director: As I'm sure (31:16) you are very well aware, during mainly 2014 but also 2013 and early beginning of 2015, the company made more than a few acquisitions, which also at the time and today, I can say for sure, strategically allows us today to position our product in front of customer as a solution and less than individual product. Just to remind you, we bought a small consulting firm, we bought Solid Concepts and Harvest and created the Stratasys Direct Manufacturing. Today, we are in the process of shifting our message in a selling process to sell solution which basically is looking on customer needs and combining our offering, current and future offering, to a solution package which we hope is going to serve customer better. We are going to increase our stickiness and improve our relationship with our customers. So it's around two areas. One of them is in future product, designing the product more as a solution than individual hardware consumable components, and at the same time combining our very wide offering into packages which will serve customer better.
Steven M. Milunovich - UBS Securities LLC: Perfect. Thank you.
Shane Glenn - Vice President-Investor Relations: Thanks, Steve.
Operator: Thank you. And the next question comes from Paul Coster, JPMorgan. Please proceed.
Paul Coster - JPMorgan Securities LLC: Yeah. Thanks very much for taking my question. I guess previously, I kind of thought of you as going after prototyping and the tooling and the additive manufacturing markets all simultaneously. Maybe just a nuance here, but are we to interpret strategy now as a little bit more sequential in terms of the way in which you allocate resources, meaning that you're going to wait before you kind of throw in more resources to the additive manufacturing?
David Reis - Chief Executive Officer & Director: No, no. Hi, Paul, good morning. It's David. No, definitely not. Our current strategy statement is saying the following I think in a very clear way. We have the intention to keep our leadership position in prototyping, and we have more than a few product in the high end of prototyping, and of course, for MakerBot as we believe, it will help us to keep this position. We believe that the prototyping market still has a great potential and the penetration is relatively low. At the same, we are moving, like I explained earlier, to solution-based, selling a solution-based business model and positioning ourselves to sell into verticals. And when we talk about verticals, we mainly talk about tooling and end-use parts application. So it's not sequential. What I just described as our high-level strategy is being done at the same time in parallel.
Paul Coster - JPMorgan Securities LLC: All right. Got it. And now, David, perhaps you can give us an example of one these VBUs, just how many people are in it, what do they do, what's your configuration.
David Reis - Chief Executive Officer & Director: Sure. It's a very good question. I think a few years back, we realized that there is a requirement from the market for us to become specialized in the different industries that we operate in. And I think it's clear to you and to, I'm sure, the rest of the people on the phone that there are substantial differences, for example, between the medical space and the aerospace business. So what we did, we – the initial steps were done in Stratasys before the merger. It was a very small team. They – past the merger, we spent and invested a lot of money and thoughts on building a group that its goal is to develop our capabilities into different verticals that we believe are the leading verticals in our industry. And we're talking about auto, aerospace, medical, dental, jewelry, and education as a subset of them. And this group is consist of quite a bit of employees and managers. And their task is to become specialists in respect to those markets, develop with customers specialized application, and later on, impact R&D to develop solutions which are tailored for those applications. Now, this team, when they conclude the work of developing certain application or a certain solution, they create the necessary tool in order for our core sales and marketing infrastructure to adopt this new development and sell it to the wider market. So it's kind of like maybe kind of a special unit, special forces which are running in front of the company with customers, developing specialized application mainly in tooling and manufacturing, and later on bringing them to the wide Stratasys core sales and marketing infrastructure to be able to sell it to the wider audience.
Paul Coster - JPMorgan Securities LLC: Okay. Great. Thank you.
Operator: Thank you. And the next question comes from the line of Jim Ricchiuti at Needham & Company. Please proceed.
Jim Ricchiuti - Needham & Co. LLC: Thank you. A question regarding your guidance. Obviously, you've limited visibility at this point, it still sounds like a challenging industry environment. Yet, as you look at your full-year guidance, I'm curious, looking out towards the end of the year, it does assume, I think, a stronger Q4. And I'm wondering, what you see, what gives you the confidence? Is this tied to the execution on some of the verticals? Is it new products? And then I have a follow-up on that topic also relating to gross margins.
Erez Simha - Chief Operating & Financial Officer: All right.
Shane Glenn - Vice President-Investor Relations: Hi, Jim.
Erez Simha - Chief Operating & Financial Officer: And good morning. It's Erez. If you look at the guidance, that actually represent similar 2016 compared to 2015. So we didn't assume any significant improvement in market trends. And the stronger Q4 is a seasonal phenomena that historically we experienced during the last few years. So it's not related to market improvement in the last part of the year but more a seasonal phenomena that we see every year in our business.
Jim Ricchiuti - Needham & Co. LLC: Okay. And Erez, with respect to gross margins, even if we make some adjustments to where you exited Q4, getting to 54% to 55% gross margins, can you help us understand what's going to drive that margin expansion this year?
Erez Simha - Chief Operating & Financial Officer: Yes, well, I think that looking at 2015, it's a little bit misleading. We had many one-timer that had impact on gross margin around the inventory write-off and adjustment of the inventory and manufacturing inefficiency that we took care and taking care of as we speak. I think that the gross margin, the range that we provided assume that we are better on managing our inventory in spare part (38:53) that we are doing better in inefficiency in production, and there is a lot of activity being done in the company today to optimize manufacturing and to improve and increase productivity around operation.
Jim Ricchiuti - Needham & Co. LLC: So not necessarily tied to any shift in mix, but it sounds like would the margin expansion come primarily on the product side, it sounds like, the hardware side?
Erez Simha - Chief Operating & Financial Officer: Correct.
Jim Ricchiuti - Needham & Co. LLC: Yeah. Okay. Thank you.
Shane Glenn - Vice President-Investor Relations: Thanks, Jim.
Operator: Thank you. And the next question comes from the line of Kenneth Wong from Citi. Please proceed.
Kenneth Wong - Citigroup Global Markets, Inc. (Broker): Hey, guys. You mentioned seeing productivity improvements in MakerBot through 2016. Is that meant to suggest that we should see revenue growth through the year or is that purely that the operations and cost side of things should get better through 2016?
Erez Simha - Chief Operating & Financial Officer: Hey, Ken. Good morning. It's Erez. We didn't provide any standalone for MakerBot and you can look at MakerBot as you look at the entire guidance; we assume 2016 similar to 2015 with a better operational performance for the entire company, MakerBot included.
Kenneth Wong - Citigroup Global Markets, Inc. (Broker): Okay. Okay. I guess you guys – I just follow kind of one specific line when you (40:17) that there'd be some kind of some improvement through the year. So, I guess I was just trying to get a sense to whether or not that meant sequentially that (40:26)
Erez Simha - Chief Operating & Financial Officer: It's not (40:29) there's no significant top-line improvement in MakerBot building to our guidance.
Kenneth Wong - Citigroup Global Markets, Inc. (Broker): Okay. Okay. Understood. And then also, you guys touched on lowering reseller commission, I mean part of that is probably just due to the sales environment, but we also kind of heard that commissions on the whole were kind of trimmed a bit. Can you maybe talk about what's going on there, and then any other measures you guys are taking with your direct and indirect sales force to help drive sales in 2016?
Erez Simha - Chief Operating & Financial Officer: We didn't say or we didn't meant to say lowering reseller commissions. The commission is a direct result of volume and mix and, as such, it is embedded in 2016 guidance. As we move more and more, as we say, to our more direct talk with our customers, it has impact, not a significant one in 2016, probably in the future, on our mix of product that carry commission costs. On the other side, it has direct expenses to serve those accounts which are not part of the commission but part of the ongoing operating expenses.
Kenneth Wong - Citigroup Global Markets, Inc. (Broker): Okay. Great. Thanks, guys.
Operator: Thank you. And the next question comes from the line of Wamsi Mohan, Bank of America Merrill Lynch. Please proceed.
Wamsi Mohan - Bank of America Merrill Lynch: Yes. Thank you. Two questions. So one, where was your head count reduction focused on in the fourth quarter? And how back-end loaded was that because your SG&A levels remain relatively flat in the quarter? And I will follow up.
Erez Simha - Chief Operating & Financial Officer: Well, Wamsi the workforce reduction in Q4 was mainly around the non-core, non-strategic activity that we have which is direct impacted by the ongoing low business volume. And for example, if we see a lower production plan in front of us by nature, we have to reduce part of the operations and part of the back office to support lower volume. And I can tell you that on the strategic area around R&D BVU, SAM, in IT we did not touch. I think that the impact in Q4 is partial impact because the reduction in force took place throughout Q4 and probably have a partial impact on entire Q4.
Wamsi Mohan - Bank of America Merrill Lynch: Okay. Thanks. And then just if you could give some color around the gross margin. In services, it was lower you noted inventory adjustment and buildup of services capacity. Can you elaborate on that? Because typically you have contracts in place for that capacity and on the product side, do you think that the inventory correction associated with the gross margin is not complete? Thanks.
Erez Simha - Chief Operating & Financial Officer: The capacity is mainly around SDM, which is part of the services line. And this business, the make or break is how do you manage the utilization, and once you increase in step capacity, it had impact on gross margin and did you utilize or you fully utilized the capacity that was built. As for product it mainly around specific business unit, and the result of lower business plan for 2016 that actually forced us to take some reserve on inventory under the assumption that we will not be able to utilize all those parts in 2016 or in the near future.
Wamsi Mohan - Bank of America Merrill Lynch: Thank you.
Operator: Thank you. And the next question comes from the line of Samuel Eisner, Goldman Sachs. Please proceed.
Samuel H. Eisner - Goldman Sachs & Co.: Yeah. Good morning, everyone. So just...
David Reis - Chief Executive Officer & Director: Hi.
Samuel H. Eisner - Goldman Sachs & Co.: Hey. How are you? So on the guidance here, I just want to better understand, and I know a couple of other people have asked this, but I want to try to get some more clarity. So if I back into some of the profit or dollars that you guys are guiding to, I think you're guiding to around about $400 million gross profit number and op expenses of around $370 million. So, effectively, you're up about $30 million in gross profit and down about $20 million or so in OpEx. Can you talk about what the line items that you're changing there? Is that all SG&A that you're bringing down? And then, given the substantial kind of top line, or at least gross margin, gross profit increase there, is it really just mix because your revenue is only projected to be up about $20 million, so I'm curious where that leverage is coming from?
Erez Simha - Chief Operating & Financial Officer: Sam, good morning. It's Erez. So, as for 2016, what you see in the number is the net change between 2015 and 2016. And actually what happened in Stratasys between 2015 and 2016 is that we reduced significantly operating expenses on one hand, on the other hand, in some places, we invested back into the business in area that we felt are strategically important to the company. And we discussed it previously. Part of the improvement in gross margin is also better efficiency or doing the more or less same production plan with the lower forces compared to 2015 because the reduction in force that took place in Q4, I would say, significant part of it was, came from operation, and it has impact on gross margin and manufacturing efficiency. In general, when we look at the 2016, we try to touch first of all the non-core activity that we have around us. As we see lower revenue and lower revenue generation compared to previous years and similar to 2015, we scaled back some of those activities. We scaled back dramatically the back office forces that has to support same business like in 2015. And I would say that your analysis is in terms of the net change is correct, what's happened between 2015 and 2016. But there's more behind the story because the net change is combination of gross reduction and some increase in expenses in other places.
Samuel H. Eisner - Goldman Sachs & Co.: And maybe just as a follow-up, we had absolute reduction in OpEx that you're seeing in dollar terms, is that all – or have all those initiatives already been done in the fourth quarter, or do you anticipate doing – do you have to do additional ones in the first half or even the second half of 2016 in order to achieve that sort of dollar decline on OpEx? Thanks.
Erez Simha - Chief Operating & Financial Officer: The part that is related to reduction in force is done. It's behind us. And we are going to take some more measurement of activities in 2016 to reduce further operating expenses, direct and indirect expense, but this is embedded in 2016 plan.
Samuel H. Eisner - Goldman Sachs & Co.: Got it. Thanks.
Operator: Thank you. And the next question comes from the line of Rob Stone, Cowen & Company. Please proceed.
Robert Stone - Cowen & Co. LLC: Good morning, gentlemen. I had a follow-up question about the tax rate. I understand the impact of the adjustment on the valuation allowance this year. Should we expect then that your effective tax rate returns to a more normalized rate in 2017 or 2018? Any color would be great.
Erez Simha - Chief Operating & Financial Officer: Yes. So we cannot provide actual date when effective tax rate will come back to what we used to have. It's actually dependent on taxable income in some jurisdiction that as of 2016, we know that we will not generate GAAP taxable income. As for the timing at this moment at least for 2016, we know it will not happen. I cannot say – well, I have no – I cannot touch further 2017 or 2018 right now.
Robert Stone - Cowen & Co. LLC: But it depends on going back to a GAAP profitability?
Erez Simha - Chief Operating & Financial Officer: In specific areas, (49:35) yes. Yes.
Robert Stone - Cowen & Co. LLC: Okay. A housekeeping question then. Could you provide the CapEx and depreciation figures for Q4 2015 and the year?
Erez Simha - Chief Operating & Financial Officer: I can provide it later on. I don't have it here under my hand but we can take it offline and we will provide you the numbers. No problem.
Robert Stone - Cowen & Co. LLC: All right. If you don't have that one, then how about one more. I noticed the goodwill was up sequentially about $75 million versus the Q3 balance sheet. So what happened there?
Erez Simha - Chief Operating & Financial Officer: Goodwill was not up. We had an additional impairment of $100 million and goodwill was down.
Robert Stone - Cowen & Co. LLC: Well, intangibles went down but looking at the statements that came out in Q3 versus the ones you just published today, the line item for goodwill actually went up sequentially. Maybe there was a reallocation or something?
Erez Simha - Chief Operating & Financial Officer: Yeah. It's probably you should look at the total amount.
Robert Stone - Cowen & Co. LLC: Okay.
Erez Simha - Chief Operating & Financial Officer: And the total amount went down. It might be reallocation between intangibles and goodwill.
Robert Stone - Cowen & Co. LLC: Okay.
Erez Simha - Chief Operating & Financial Officer: But the total amount went down.
Robert Stone - Cowen & Co. LLC: All right. Thank you.
Operator: Thank you. And the next question comes from the line of Ananda Baruah from Brean Capital. Please proceed.
Ananda P. Baruah - Brean Capital LLC: Hey, guys. Good morning. Thanks for taking the question. Two, if I could. The first one is, is the rev guide for 2016, is that a fully organic rev guide? Or does it include, I don't know, like, just any consideration for M&A? And then in that same context, you clearly feel that the demand environment is a little bit more stable. So I would love to get your view on what you see out there in the customer base that is driving the view that that you've now reached the point of stability? And then I have a follow-up. Thanks.
Shane Glenn - Vice President-Investor Relations: Yeah. Ananda, this is Shane. The revenue is a completely organic number. And I'll let David answer the second part of your question.
David Reis - Chief Executive Officer & Director: Yeah. I think we said earlier that we should not get mistaken here. The visibility is low, and nevertheless, within this low visibility, we are saying for a long time, we are operating in a good and interesting market. So we believe that within this limitation of difficulties on the macro level and some change in buying pattern, we can do internally better to improve the situation. So we are projecting a flat to a little bit over a flat year, just tiny bit, because of this visibility.
Ananda P. Baruah - Brean Capital LLC: Got it, David. That's helpful. And I guess in that context is my follow-up, I believe Erez you mentioned core system ASPs were up both Q-over-Q and year-over-year and you made reference to the new Connex products, actually, I think saying they had strong demand. So can you talk to what's driving those dynamics, and to what degree are those dynamics sort of informing the stability in the top line? Thanks.
Erez Simha - Chief Operating & Financial Officer: David, you want to take it?
David Reis - Chief Executive Officer & Director: Can you repeat the question, I'm not sure I understood it.
Erez Simha - Chief Operating & Financial Officer: Yeah. I'll take it. You had to remember that we compare Connex Q4 to Connex Q4 2014 and Connex Q4 2014 was not as strong as we anticipated. Again, this deals with the Connex3, the change in our positioning of the Connex in the market and some go-to-market initiative and activity that we did to push further the Connex resulted in better high-end Connex sales in Q4. By the way, it's a trend that we see in the last, I would say, quarter-and-a-half that part of the targeted trend that we had in mind to improve and increase sales (53:50) in Connex. We put them in the sales focus on and that on the go-to-market initiative in order to improve the Connex sales. And I think again, it's a profitable product. It is contributing to the overall ASP of the company. It's come with PolyJet and recurring revenue and a stream of consumables that we'd contribute in the future. And David, do you have anything to add?
David Reis - Chief Executive Officer & Director: I think you said it all. Now that I understand the question. You said it all.
Ananda P. Baruah - Brean Capital LLC: Okay, guys. Thanks a lot. I appreciate it.
Erez Simha - Chief Operating & Financial Officer: Thanks, Ananda.
Operator: Thank you. And the next question comes from the line of Sherri Scribner, Deutsche Bank. Please proceed.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Hi. Thank you. Over the couple of years before 2015, you guys did a number of acquisitions, MakerBot obviously and the merger, and then also some acquisitions in the services business. It sounds like you guys have the technology you need right now to do well in the market, but I just wanted to get your sense of if there's anything that you feel you're missing at this point or is the message more for 2016 that you're going to focus on working with the technology that you have and improving the cost structure of the business? Thanks.
David Reis - Chief Executive Officer & Director: I think in your question you answered I think our answer. Basically, I think over the last two years, we did a few good acquisitions. In 2016, we're going to concentrate on aligning those acquisitions and those offering together to what I described earlier as a solution offering, and I think that for the most part, we have what we need now. So we are going to focus on this. Again, increasing penetration into the vertical dimension, continuing increasing our penetration into end-use parts. And like you said correctly, dealing a lot with the cost control and cash management.
Sherri A. Scribner - Deutsche Bank Securities, Inc.: Thank you.
Operator: Thank you. And the next question comes from the line of Shannon Cross from Cross Research. Please proceed.
Shannon S. Cross - Cross Research LLC: Thank you. Erez, can you talk a bit about the working capital? And I know you had some benefits there this quarter. How do you think about it when you look to 2016, and the opportunity for benefit, and just sort of how we should think about that moving? And then I had a follow-up.
Erez Simha - Chief Operating & Financial Officer: Yeah. Working capital, we put a lot of emphasis on accounts receivable, collection, cash, CapEx, and inventory. I do expect that the inventory will not be high in 2016, same for the accounts receivable. I think that you can expect a working capital, again, it's tough to put a hand on a specific number to get better in this aspect.
Shannon S. Cross - Cross Research LLC: Okay. And then in terms of the inventory write-off this quarter, can you give us some clarity on whether or not we should expect further ones? And then also with regard to the goodwill impairment charge you took, what was that specifically for and do you think you're now complete with potential impairments? Thank you.
Erez Simha - Chief Operating & Financial Officer: And so, the inventory adjustment at least at this point, I think, this is what we think that we should do. It's coming from, as I said, specific business unit whether we think that we will not be able to utilize the amount (57:53) we have today on hand, looking at 2016 plan, which presents practically demand for production. As for the goodwill accounting, first, we'll ask you to provide your best estimate of goodwill impairment and this is what we did in Q3, and we finalized the actually the impairment analysis throughout Q4 and came to a conclusion that we need to modify and adjust the amount that was there in Q3 by another $100 million. It came from, I would say, most of the reporting unit, if not, all of the reporting units, in Stratasys. And at this point of time, and again with the information we have in hand, the market condition that we see in front of us assuming this will not change. I don't think that we will see another impairment in the near future.
Shannon S. Cross - Cross Research LLC: Okay. Thank you.
Operator: Thank you. And the next question comes from Bobby Burleson from Canaccord. Please proceed.
Robert Burleson - Canaccord Genuity, Inc.: Hi. Thanks for taking my questions. So, I guess the first one is just high level. Do you think is there an issue here in terms of your customers maybe not having realized they don't have the in-house expertise to develop their own direct parts production on your machines, and now they're looking to your digital manufacturing outfit really to do that for them, and could there be implications in terms of system sales in the future, and maybe you have stronger parts business in the future for Stratasys?
David Reis - Chief Executive Officer & Director: Thank you. Hi. Good morning.
Robert Burleson - Canaccord Genuity, Inc.: Good morning.
David Reis - Chief Executive Officer & Director: I think the nature of – if you look on the design to manufacturing process, typically if you want to adopt additive technology all the way, typically you will switch between different technologies. Okay? So I think into the future, most of our customers are not going to initially adopt all those technologies. So, in the process, they will maybe start with a MakerBot machine for early design and concept, and later when they would like to go to functional testing and maybe early manufacturing series they will need other technologies, either PolyJet technologies or metal technologies. And therefore, we said, prior to the acquisition of Solid Concepts and Harvest and now Stratasys Direct Manufacturing that combining our hardware, consumable part sales with by the way other offerings such as Consulting and Professional Services, we're going to be able to answer the entire customer needs from design to manufacturing. And it's not one coming on the account of the other, but it's complementary. Therefore, by the way one of the reasons we changed the way we describe our offering to a solution and not just for individual product. So we believe that parts will sell machines and machines will sell parts and therefore we are repositioning all of these together.
Robert Burleson - Canaccord Genuity, Inc.: Right. With the kind of complexity that your solution description implies, does that mean that this next leg of growth has more to do with actual, direct part production might be something that's too ambitious to be done in-house by your customers ultimately?
David Reis - Chief Executive Officer & Director: In some cases customers will elect like you described it, not to do it in-house but to outsource it. It has not – and again, you need to go back to the design to manufacturing process. Some parts they would elect to do in-house, some parts they might want to outsource, and they will fluctuate between them. And we are positioning ourself in order to have an answer in the solution for any choice in this respect.
Robert Burleson - Canaccord Genuity, Inc.: Okay. And have you guys, just in terms of incentives within the organization, is there any conflict between the system sales folks and the guys that are winning the business to make parts for the customers?
David Reis - Chief Executive Officer & Director: It's a very interesting question. We are in the kind of initial stages of aligning those activities. I don't want to get into our internal compensation structure, but we believe that it can be designed in a way that will motivate both options and will not create conflict between them.
Robert Burleson - Canaccord Genuity, Inc.: Okay. Great. Thank you.
Operator: Thank you. I would now like to turn the call over to David Reis for closing remarks.
David Reis - Chief Executive Officer & Director: Thank you for joining today's call. We look forward to speaking with you again next quarter. Good-bye and thank you.